Operator: Good afternoon. My name is Lisa, and I will be your conference operator today. At this time, I would like to welcome everyone to the CuriosityStream Q3 2020 Earnings Conference Call. [Operator Instructions] Thank you.
 I would now like to turn the call over to Ms. Denise Garcia, Investor Relations at CuriosityStream. Please go ahead, ma'am. 
Denise Garcia;Managing Director & Founder, Hayflower Partners: Thank you. Welcome to CuriosityStream's discussion of its third quarter 2020 financial results. Leading the discussion today are Clint Stinchcomb, CuriosityStream's Chief Executive Officer; and Jason Eustace, CuriosityStream's Chief Financial Officer. Following management's prepared remarks, we will be happy to take your questions. But first, I'll review the safe harbor statement.
 During this call, we may make statements related to our business that are forward-looking statements under the federal securities laws. These statements are not guarantees of future performance, but rather are subject to a variety of risks, uncertainties and assumptions. Our actual results could differ materially from expectations reflected in any forward-looking statements. Please be aware that any forward-looking statements reflect management's current views only, and the company undertakes no obligation to revise or update these statements nor to make additional forward-looking statements in the future. For a discussion of the material risks and other important factors that could affect our actual results, please refer to our SEC filings available on the SEC website and on our Investor Relations website as well as the risks and other important factors discussed in today's press release. Additional information will also be set forth in our quarterly report on Form 10-Q for the 3 months ended September 30, 2020, when filed. In addition, reference will be made to non-GAAP financial measures.
 Now I'll turn the call over to Clint. 
Clint Stinchcomb: Thank you, Denise. I would like to thank everyone for joining our third quarter 2020 earnings call, CuriosityStream's first as a public company. I'm delighted to have with us today our COO and General Counsel, Tia Cudahy; our CFO, Jason Eustace; and our Chief Product Officer and EVP of Content Strategy, Devin Emery. After my comments, I will turn the call over to our CFO, Jason Eustace, to review the third quarter financials. At the close of Jason's review, we will open up the call for questions.
 CuriosityStream's mission is to provide premium factual entertainment that informs, enchants and inspires. As a pure-play streaming service, we are capitalizing on the worldwide trend favoring on-demand content. Our flexible business model with multiple avenues of content monetization and our differentiated content offering provides us with several key competitive advantages. Other providers have tried to enter the streaming market with more limited business models, expensive programming and narrower go-to-market strategies with little success. Our focus on factual content, which has longevity and is engaging across multiple demographics and geographies, is key to our success. Let me talk about our success in the third quarter.
 We closed a strong third quarter at CuriosityStream. Revenue grew 83% over third quarter 2019 to $8.7 million, driven by continued strength in direct-to-consumer and distribution revenue. Revenue increased across the business, and we continue to be on track with our 2020 and 2021 revenue goals. Sequentially, Q3 revenue declined as expected following an outsized revenue contribution from program sales in the second quarter.
 On a year-over-year basis, we more than doubled our subscribers in Q3 with notable increases in subscribers on annual plans and international subscribers. At the same time, we reduced churn and customer acquisition costs. We continue to build our content library and completed our business transaction to become a publicly traded company. I'll share more details about each of these highlights, starting with growth in subscribers.
 We had another strong quarter in direct subscriber additions following a record-breaking first half of the year. A couple of factors contributed to these results. We continue to see strength in our direct response digital marketing channels as people continue to look for new and expanded content options. We increased awareness, marketing tactics, targeting high proclivity to subscribe audiences to amplify our direct response efforts. We continue to optimize our direct business to our North Star metrics, paying subscribers and lifetime value.
 In the third quarter, we increased paying subscribers over 100% year-over-year while decreasing customer acquisition costs 18% and driving an estimated 53% increase in LTV year-over-year. Next quarter, we plan to further increase our investments in promotion and marketing to drive brand awareness. Given the current competitive landscape and historical subscription purchase behavior, we believe fourth quarter presents a great opportunity to invest in brand awareness advertising.
 Now I'd like to highlight a few exciting developments on the content side. During the quarter, we launched production for the third season of our successful franchise 4th AND FOREVER, celebrating triumphs of the human spirit. We also completed production on Fighting For Lincoln: The Wide Awakes, about a little-known paramilitary political operation that some say delivered the presidency to Abraham Lincoln. Wide Awakes premiered in October. On Bastille Day in July, we premiered The French Revolution, our 2-part original series, which takes audiences to the streets of Paris for the birth of the French Revolution and chronicles the fall of the world's most powerful monarchy. MY WILD BACKYARD was a series successfully filmed during the COVID pandemic that premiered in September. The show's host take viewers through Mexico, Chile, South Africa, New York and the Pacific Ocean, off the coast of California, for an intimate look at the wildlife that calls those places home. Throughout the third quarter, we actually premiered 17 natural history specials, stunning expansive films about cheetahs, owls, apes and the natural splendors of Russia and Australia.
 And today, we announced the premiere of our landmark original series BEYOND THE SPOTLIGHT on November 19. This exciting project, executive produced by Leonardo DiCaprio, will explore the hidden backstory of some of the world's biggest celebrities and entrepreneurs and how they're giving back to the causes that helped shape who they are today. First 3 profiles will feature NBA legend Shaquille O'Neal and renowned actress Kristen Bell and Samuel L. Jackson, who happens to be the highest-grossing actor of all time. We're very excited to bring this compelling content to our subscribers.
 The thought I would leave you with about our content is its quality and its range. CuriosityStream programs to the full category of factual entertainment. In our library, you will find deep and wide offerings across science, history, technology, nature, society and lifestyle. As other streaming providers find it challenging to build an audience and grow their business, we are experiencing the opposite. We have the unique competitive advantage of having a library that scales across multiple revenue streams, multigenerational and multinational audiences and is difficult to replicate. Titles like the Butterfly Effect remain among the top 5 titles in Q3 this year over Q3 last year and highlight the longevity and value of factual content and the optionality in our business model.
 We continue to invest in our product to improve the features and functionalities of our service. We have rewritten our web app as the first step to improve the form and function of all of our platforms, including mobile and connected TV apps, and are already seeing significant increase in speed and responsiveness. We are also designing new user interfaces for each of our platforms, which, on top of our improved infrastructure, will allow for a sleeker UI, more intuitive UX and an increasingly impressive proprietary tech stack.
 As I mentioned when we kicked off the call, on October 14, we announced the closing of our business combination with Software Acquisition Group. In October 15, we began trading on NASDAQ under the ticker symbol CURI as the first publicly traded media company focused on streaming factual content. Being a publicly traded company has not changed our focus on becoming the dominant player in pure factual media. We continue to be on a 3-year trajectory with goals of doubling annual revenue, large recurring revenues and high gross margins, led by an elite and proven management team. I'm excited to lead us through this next stage of growth.
 Now I'll hand the call over to our CFO, Jason Eustace. 
Jason Eustace: Thank you, Clint. I'm excited about the transition to becoming a public company and enjoy meeting many of our investors throughout the process. I look forward to updating you on our progress each quarter. Now I'll give you a brief look at what third quarter results were.
 CuriosityStream's Q3 2020 revenues grew by 83% to $8.7 million, up from $4.8 million in Q3 2019. This was led by direct-to-consumer and distribution subscription revenue. We continue to increase all of our revenue lines year-over-year with the majority increasing triple digits over third quarter of 2019.
 Cost of revenue was $3.4 million or 39% of revenue compared to 41% of revenue in Q3 of 2019. As a result, gross margin expanded from 59% in Q3 2019 to 61% this year.
 Advertising and marketing expense was $7.8 million, a 17% decrease year-over-year driven by CuriosityStream's continued direct-to-consumer subscriber growth plan and brand marketing, offset by the increase in subscribers while reducing customer acquisition costs. Next quarter, we plan on increasing our advertising and marketing spend over $5 million from Q3 to approximately $13 million in total. This includes increased spending on brand awareness to capitalize on the current market opportunity Clint mentioned previously.
 CuriosityStream's overall operating expenses decreased by 7% to $12 million from $12.9 million in Q3 2019. EBITDA improved from a loss of $10 million in Q3 of 2019 to a loss of $6.7 million this quarter.
 CuriosityStream reported a net loss of $6.7 million in Q3 2020 compared to a net loss of $9.7 million in Q3 2019. CuriosityStream's ending cash and investment balances on September 30 totaled $23.3 million as compared with $38 million at the end of 2019. The company ended Q3 2020 with stockholder deficit of $126.1 million.
 On October 15, at the closing of our business combination with Software Acquisition Group, we received $49 million. And again, we are on track with our plans for this year and for 2021. For fourth quarter, we expect revenue of at least $11.3 million and revenue of at least $39.5 million for the year. For fiscal 2021, We expect revenue to be at least $71 million, consistent with our disclosure during the business combination.
 And now I'll turn it back over to Clint and open the line for questions. 
Clint Stinchcomb: Please open the line. 
Operator: [Operator Instructions] Your first question comes from the line of Zack Silver with B. Riley. 
Zachary Silver: The first one for me is just as you laid out some of the initial projections, the revenue guidance contemplates a couple of large deals bundled in corporate, association bulk sales side. And just wondering if you could update us on the cadence of those deals and how the pipeline looks as we move into 2021. 
Clint Stinchcomb: Yes. I think we're on track to meet our revenue target for year-end 2021. I have great confidence in that. The nice thing about our business is we have multiple avenues of content monetization. And so we're seeing great growth in our direct business. You mentioned bundled partnerships. We're in lots of conversations there and are confident that those will deliver and that we'll meet our revenue target. 
Zachary Silver: Got it. A couple more, if I could. I think that you gave a few KPIs on the direct side. But more qualitatively, anything you can share around consumer engagement, customer sat? 
Clint Stinchcomb: Consumer engagement continues to increase. Customer satisfaction continues to increase. We're monitoring it closely. Our churn is among industry lows. We continue to have overwhelming majority of people adopt our annual plan, which leads to deeper engagement and minimizes churn. 
Operator: [Operator Instructions] Our next question comes from the line of Zack Silver with B. Riley. 
Zachary Silver: Okay. The other one that I had just around the, how you're thinking about deploying some of the cash you received? You have this large and global TAM. And when you think about balancing content spend and building the library with marketing, how are you kind of attacking this? 
Clint Stinchcomb: Great question. We're going to use the proceeds to increase our investment in programming first and then second in the marketing. We announced a few series quite recently, including BEYOND THE SPOTLIGHT today. So you can see our programming money going to work there. And we'll have a steady stream of new content announcements going forward. And as to the mix of that, Zack, we'll invest in high-quality original content. At the same time, we're extremely opportunistic on the acquisition side. We have lots of great and deep relationships with the best factual producers and distributors around the world. And we'll continue to leverage those relationships to build out the quantity of our library. So the big, high-profile specials tend to bring people in. Quality and quantity is what keeps them. 
Operator: And at this time, there are no further questions. Are there any closing remarks? 
Clint Stinchcomb: No. I just want to thank everybody for joining the call today. 
Operator: And this does conclude today's conference. You may now disconnect.